Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2017 Hess Corporation Conference Call. My name is Vince and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Jay Wilson, Vice President of Investor Relations. Please proceed.
Jay R. Wilson - Hess Corp.: Thank you, Vince. Good morning, everyone and thank you for participating in our third quarter earnings conference call. Our earnings release was issued this morning and appears on our website, www.hess.com. Today's conference call contains projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ from those expressed or implied in such statements. These risks include those set forth in the risk factors section of Hess's annual and quarterly reports filed with the SEC. Also on today's conference call, we may discuss certain non-GAAP financial measures. A reconciliation of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures can be found in the supplemental information provided on our website. Now as usual, with me today are John Hess, Chief Executive Officer; Greg Hill, Chief Operating Officer; and John Rielly, Chief Financial Officer. I'll now turn the call over to John Hess.
John B. Hess - Hess Corp.: Thank you, Jay. Welcome to our third quarter conference call. I will provide an update on the progress we are making in executing our strategy. Greg Hill will then discuss our operating performance and John Rielly will then review our financial results. Our strategy is to focus our portfolio by investing in our highest return assets and divesting mature, higher-cost assets, which in turn will lower our unit cash operating costs, bolster our balance sheet, and pre-fund our truly world class investment opportunity in Guyana. This strategy is designed to deliver significant value to our shareholders, even in a low oil price environment for many years to come. During the third quarter, we achieved several strategic milestones, including this week's announced sales of our interests in Norway and Equatorial Guinea as well as our enhanced oil recovery assets in the Permian in early August. We also announced plans to sell our interest in Denmark, which should result in a complete exit from the North Sea. In April of this year, we also completed the initial public offering of Hess Midstream Partners LP. Proceeds from these asset sales to-date are estimated at approximately $3.25 billion, and along with cash on our balance sheet, will be used to fund offshore Guyana, one of the industry's most attractive investment opportunities, which offers superior returns, even in a low price environment, and positions our company for a decade plus of visible reserve and production growth with outstanding returns. The Stabroek block, where Hess has a 30% interest, contains a massive world class resource that keeps getting bigger and better. Earlier this month the operator, ExxonMobil, announced a fifth oil discovery with the Turbot-1 well, which encountered 75 feet of high-quality oil bearing sandstone reservoir. We are encouraged by the results of this discovery, which is accretive to the estimated 2.25 billion to 2.75 billion barrels gross recoverable resources already discovered on the Stabroek block. Additional drilling at Turbot is planned for 2018 to further evaluate the full commercial potential of the resource. We also expect to spud the Ranger-1 well by the end of this month. We are also very excited about the Liza phase one development that is already underway, which will have the gross capacity to produce up to 120,000 barrels of oil per day, with first production expected by 2020. Guyana is simply an extraordinary investment opportunity that is uniquely advantaged by its scale, quality, cost, timing and financial returns. First as I mentioned, Liza and Payara are giant oilfields, some of the industry's largest oil discoveries of the past decade. Second, it has one of the highest quality reservoirs in the world, with high porosity and permeability and is expected to deliver very high recovery factors and production rates. Third, since the producing horizons are relatively shallow for deepwater wells, the wells can be drilled in approximately a third of the time and cost of those in the deepwater Gulf of Mexico. Fourth, development is set to occur at what is expected to be the bottom of the offshore cost cycle. Fifth, ExxonMobil as the operator is one of the most experienced project managers in the world for this type of development, with a great track record, which significantly reduces execution risk. And finally, we see multi-billion barrels of additional un-risked exploration upside on the block. In addition, allocating capital to our highest return assets and selling those that are mature and higher cost, together with a planned $150 million annual cost reduction program, will contribute to reducing our cash unit production costs by approximately 30% to less than $10 a barrel by 2020. Funding our high return growth opportunities requires a strong balance sheet and liquidity position, which remain a top priority for our company. At September 30, we had $2.5 billion of cash and total liquidity of $6.8 billion. Proceeds from asset sales announced in 2017 and the midstream IPO are estimated to exceed $3.4 billion with additional proceeds expected in 2018 from the sale of our interest in Denmark. Our asset sales will also extinguish approximately $3.2 billion in future abandonment liabilities and enable $500 million of debt reduction in 2018. At the same time, we have built a strong hedge position in a period of oil price uncertainty to protect our cash flows. For the remainder of 2017 using put-call collars, we have hedged 130,000 barrels per day of oil production, 20,000 barrels per day of Brent with a $55 floor and $20 upside, 60,000 barrels per day of WTI with a $50 floor and $20 upside, and 50,000 barrels per day of WTI with a $50 floor and $15 upside. For 2018, we have hedged 115,000 barrels per day of oil production using put-call collars with a $50 WTI floor and $15 upside. Now turning to our financial results, in the third quarter of 2017 we posted a net loss of $624 million, which includes net non-recurring losses totaled $300 million. On an adjusted basis, our net loss was $324 million or $1.07 per common share compared with a net loss of $340 million or $1.12 per common share in the third quarter of 2016. Compared to 2016, our third quarter financial results were positively impacted by higher realized crude oil selling prices and lower operating costs, depreciation, depletion and amortization, and exploration expenses, which more than offset the lower tax benefits following a required change in deferred tax accounting. Third quarter production was within our guidance range, averaging 299,000 barrels of oil equivalent per day, excluding Libya. Net production in Libya was 12,000 barrels of oil equivalent per day in the third quarter. The Bakken is our largest operated growth asset, where we have an industry-leading position with more than 0.5 million net acres in the core of the play and the capacity to grow production to approximately 175,000 barrels of oil equivalent per day from 103,000 barrels of oil equivalent per day currently. Our distinctive lean capability has enabled us to lower our well cost by 60% since 2010. In addition, our use of technology through the application of geo steering, optimized spacing, higher stage counts and profit loading has increased our well productivity by approximately 50% over the last two years. Together, these improvements have enabled us to generate returns that are competitive with any shale play in the United States. We are currently operating four rigs in the Bakken, that, with 60 stage fracs and increased proppant levels, are forecast to deliver virtually the same oil production growth of approximately 10% a year that would've taken six rigs a year ago. Based on the strong financial returns of our Bakken wells, we are evaluating plans to add up to two additional rigs in the Bakken during 2018 for a total of six rigs. In Malaysia, the North Malay Basin full field development achieved first production of natural gas in July. Hess is the operator with 50% interest and Petronas is our partner with the remaining 50%. For the third quarter, production averaged 86 million cubic feet a day and the field is on track to reach its planned plateau rate of 165 million cubic feet per day in the fourth quarter. North Malay Basin will be a significant long-term low cost cash generator for the company. In the deepwater Gulf of Mexico, the Stampede development, in which Hess has a 25% interest and is the operator, remains on track to start up in the first quarter of 2018 and ramp up production over the following 12 months. In summary, we are well positioned to deliver a decade plus of returns driven growth and increasing cash generation through continued execution of our strategic plan. The success of our asset sales program to-date further focuses our portfolio on higher return assets and lowers our cash unit costs. At the same time, we are strengthening our balance sheet to fund our world-class investment opportunity in Guyana, which we believe will create significant value for our shareholders for many years to come. I will now turn the call over to Greg for an operational update.
Gregory P. Hill - Hess Corp.: Thanks John. I'd like to provide an update on our operational performance in 2017. In the third quarter, despite several weather-related challenges, our team executed well across our producing and development assets. We also continued delivering value through exploration. The Turbot-1 well, some 30 miles to the southeast of Liza, resulted in a fifth significant discovery on the Stabroek Block in Guyana, reinforcing their tremendous potential of this 6.6 million acre block. Our recently announced asset sales, as John noted, further focus and simplify our portfolio, lower our cash unit operating costs and break-even oil price, and allow us to pre-fund the development of our world class discoveries on Stabroek as Guyana continues to get bigger and better. Now, starting with production. In the third quarter, net production averaged 299,000 barrels of oil equivalent per day, excluding Libya at the center of our guidance range of 295,000 to 305,000 barrels of oil equivalent per day. Our third quarter production was influenced by the following primarily weather-related factors. First, hurricanes Harvey and Irma along with third-party downtime at our Conger field impacted our Gulf of Mexico production by approximately 7,000 barrels of oil equivalent per day. Second, unusually heavy rainfall in North Dakota resulted in road closures and deferred completions, reducing our production there by about 4,000 barrels of oil equivalent per day. As a result, net production averaged 103,000 barrels of oil equivalent per day in the third quarter, slightly below our guidance. However, both of these weather impacts were offset by a temporary adjustment in our JDA entitlement, which increased production by approximately 8,000 barrels of oil equivalent per day. Looking ahead to the fourth quarter, we will have some carryover effects from these issues as follows. The cumulative impact of one tropical storm and three hurricanes has resulted in 40 days of overall downtime for the Noble Paul Romano drilling rig that will push the startup of the Penn State-6 well to December, and the subsequent workover of another well into first quarter 2018. These delays will impact fourth quarter production by approximately 5,000 barrels of oil equivalent per day versus plan. The Conger field has been offline in October due to downtime at the Shell operated Enchilada platform, which will impact fourth quarter production by approximately 3,000 barrels of oil equivalent per day versus plan. At the JDA, the third quarter benefit in our net entitlement will reverse, reducing production by about 8,000 barrels of oil equivalent per day. However, in the Bakken, we plan to temporarily add a third completion crew to help us recover from the weather impacts experienced in the third quarter, and we expect net production to rebound in the fourth quarter to the range of 105,000 to 110,000 barrels of oil equivalent per day. On this basis, we continue to expect delivery of our full-year guidance in the Bakken of approximately 105,000 barrels of oil equivalent per day. Assuming the sale of our interests in Equatorial Guinea closes at the end of November and the sale of Norway closes in December, our fourth quarter production will reduce by approximately 14,000 barrels of oil equivalent per day. As a result of all these factors, our company fourth quarter production is now forecast to be 290,000 to 300,000 barrels of oil equivalent per day excluding Libya. As we enter 2018 with North Malay Basin fully online, four rigs operating in the Bakken, and Stampede coming on stream, we expect to deliver strong pro forma production momentum. We will provide production guidance for 2018 on our January call. Turning to the Bakken, during the third quarter we drilled 24 wells, completed 20 wells, but only brought 13 new wells online due to weather, compared to the year-ago quarter when we drilled 21 wells and brought 22 wells online. We continue to test higher stage counts and proppant loadings in our sliding sleeve wells and have begun to test and plug-and-perf completions in line with our focus on maximizing the value of our DSUs. To-date, we have fracked 14 50-stage wells and 20 60-stage wells with proppant loadings of 140,000 pounds per stage. 18 of these high proppant wells are online and although the wells are in the early stages of their type curve, results to-date have been encouraging. In our earnings release supplement, we've provided our actual drilling and completion costs of $5.8 million per well in the quarter. About three quarters of the wells completed were the 60-stage high-proppant wells, which had an average cost of approximately $6 million each. We expect these well costs will be further reduced through lean manufacturing and with the positive results to-date, we expect average growth EURs for wells drilled in 2017 to exceed 1 million barrels of oil equivalent per well. Early next year, we will issue new guidance in terms of completion design, well costs, IP90s and EURs. Now moving to our developments. At the North Malay Basin in the Gulf of Thailand in which Hess holds a 50% interest and is operator, first gas was achieved on July 10. Production averaged 86 million cubic feet per day during the third quarter and following a continuing successful ramp up, is expected to reach its plateau production level of approximately 165 million cubic feet per day in the fourth quarter, which is expected to continue into the next decade, throwing off significant free cash flow for the corporation. At the Stampede development in the deepwater Gulf of Mexico, in which Hess holds a 25% working interest and is operator, all pipeline pre-commissioning was completed during the third quarter. Three wells have been drilled and completed and first oil is now expected to be achieved during the first quarter of 2018, which is six months ahead of schedule and well below budget. Now moving to offshore Guyana. Earlier this month ExxonMobil, the operator, announced that the Turbot-1 well resulted in another discovery on the Stabroek Block, in which Hess holds a 30% interest. The well encountered 75 feet of high-quality oil-bearing sandstone. This discovery follows the Liza, Payara, Snoek and Liza Deep discoveries. Our success at Turbot is exciting not just because of its large aerial extent, but also because it extends the play more than 30 miles to the southeast of Liza and confirms our geologic models and the vast hydrocarbon potential of the block which, even given the discoveries to-date, remain substantially untested. The drilling rig will now move to the Ranger prospect, which is expected to spud by the end of the month. Prior to the Turbot discovery, the operator ExxonMobil estimated gross discovered recoverable resources for the Stabroek Block to be 2.25 billion to 2.75 billion barrels of oil equivalent and following further appraisal of Turbot, we expect volumes to continue to increase. Liza phase one development is underway following project sanction in June and first oil remains expected by 2020. This is an asset of exceptional scale with a high-quality Multi Darcy permeability reservoir and attractive financial returns at oil prices down to $35 Brent. We plan to conduct further exploration and appraisal drilling throughout 2018 on the Stabroek Block, where we see numerous remaining prospects across multiple play types representing multi-billion barrel un-risked upside potential on this 6.6 million acre block. In closing, we continue to execute well operationally, and are taking the necessary portfolio steps to improve returns and price resiliency by redeploying capital from higher-cost mature assets to lower cost, high-return assets. This will drive a meaningful reduction in our cash unit operating costs, and will generate proceeds to pre-fund our world-class investment opportunity in Guyana, as it continues to get bigger and better. Our pro forma production momentum will strengthen in 2018, with plateau production from the North Malay Basin, a further ramp up of the Bakken, and planned first oil from Stampede in the first quarter. I will now turn the call over to John Rielly.
John P. Rielly - Hess Corp.: Thanks, Greg. Let me start by discussing our recently announced asset sales and the use of proceeds. We expect the sales of our interest in Equatorial Guinea and Norway to be completed by year-end 2017. And together with our Permian EOR sale, total proceeds are $3.25 billion from the announced transactions. Additionally, we anticipate that the Denmark sales process will be completed in 2018. As the proceeds from these transactions are received, we intend to reduce debt by $500 million and are evaluating plans to add up to two additional rigs in the Bakken during 2018 for a total of six rigs. The proceeds from asset sales along with our current cash position and importantly, our free cash flows from our low cost cash generative assets in the Gulf of Mexico and Malaysia, provide us the financial flexibility to fund our growing world-class investment opportunity in Guyana in an extended $50 oil price environment without the need to access the debt or equity markets. We do not intend to pursue any M&A activity, and believe that our reshaped portfolio provides us with superior returns compared to other outside opportunities. We are highly cognizant of the importance of cash returns to shareholders, given the strength of our current liquidity position. However, we need more visibility into Exxon's plans for phase 2 and 3 of the Liza development in Guyana. Until we have this clarity, we initially plan to maintain a strong liquidity position, but will clearly consider cash returns to shareholders as appropriate. I would also like to provide some additional comments on the deals just announced. The Equatorial Guinea and Norway asset sales will not incur any transaction taxes. We also will not incur any taxes on the repatriation of these proceeds. Additionally, the company has settled open tax matters with the EG taxing authorities for the tax years prior to the effective date. In this regard, the company will release $85 million in related tax reserves on the balance sheet, which it had accrued in prior periods for the years in question. These reserves fully cover the company's tax obligation under the settlement. Now turning to our results, I will compare results from the third quarter of 2017 to the second quarter of 2017. We incurred a net loss of $624 million in the third quarter of 2017 compared with a net loss of $449 million in the previous quarter. Our adjusted net loss, which excludes items affecting comparability of earnings between periods, was $324 million in the third quarter of 2017. Third quarter results include an after-tax gain of $280 million associated with the sale of our enhanced recovery assets in the Permian Basin. The sale transaction included both upstream and midstream assets, and as a result, an after-tax gain of $314 million was allocated to the E&P segment, and an after-tax loss of $34 million was allocated to the midstream segment. Third quarter results also included a non-cash charge of $550 million after-tax for the sale of Norway. In the fourth quarter, an additional charge relating to the Norway cumulative translation adjustment included in shareholders' equity will be recognized. The cumulative translation adjustment for Norway at September 30, 2017 was approximately $840 million. Turning to E&P. E&P had an adjusted net loss of $238 million in the third quarter of 2017 compared with a net loss of $354 million in the second quarter of 2017. The changes in the after-tax components of adjusted E&P results between the third quarter and second quarter of 2017 were as follows. Higher realized selling prices improve results by $37 million. Higher sales volumes improve results by $10 million. Lower operating costs and expenses improve results by $18 million. Lower DD&A expense improve results by $33 billion. Lower exploration expenses improve results by $12 million. All other items improve results by $6 million for an overall improvement in third quarter results of $116 million. The E&P effective income tax rate excluding specials and Libyan operations was a benefit of 18% for the third quarter of 2017 compared with a benefit of 8% in the second quarter. For the third quarter, our E&P crude oil sales volumes were under-lifted compared with production by approximately 280,000 barrels, which did not have a material impact on our results. Turning to Midstream, on an adjusted basis, the Midstream segment had net income of $22 million in the third quarter, which was up from $16 million in the second quarter. Midstream EBITDA before the non-controlling interest and excluding specials amounted to $109 million in the third quarter, compared to $96 billion in the second quarter of 2017. Turning to Corporate, after-tax corporate and interest expenses excluding items affecting comparability were $108 million in the third quarter of 2017, compared to $111 million in the second quarter of 2017. Third quarter 2017 results include an after-tax charge of $30 million in connection with vacated office space. Turning to third quarter cash flow, net cash provided by operating activities before changes in working capital was $415 million. Changes in working capital reduced operating cash flows by $327 million. Additions to property, plant and equipment were $513 million. Proceeds from the sale of assets were $604 million. Net repayments of debt were $19 million. Common and preferred stock dividends paid were $91 million. Distributions to non-controlling interest were $33 million. All other items were a net decrease in cash of $2 million resulting in a net increase in cash and cash equivalents in the third quarter of $34 million. Changes in working capital during the third quarter of 2017 were net cash outflows related to Norwegian abandonment expenditures, advances to operators, premiums on hedge contracts and the timing of interest payments. Turning to cash and liquidity, excluding midstream, we ended the quarter with cash and cash equivalents of $2.48 billion, total liquidity of $6.8 billion including available committed credit facilities, and debt of $6.16 billion. As previously mentioned, we also have a strong crude oil hedge position through 2018 to protect our cash flow. Now turning to guidance, but before I give the guidance for the fourth quarter, I will provide third quarter pro forma financial metrics that remove the EG, Norway and Denmark assets being sold, but exclude the projected $150 million of cost savings to assist with your modeling of the portfolio post asset sales. Our third quarter pro forma cash costs were $12.80 per barrel as compared to actual reported results of $13.67 per barrel. Our third quarter pro forma DD&A per barrel was $23.72 and actual DD&A was $24.79 per barrel. Finally our pro forma tax rate excluding Libya was a benefit of 2% as compared to our reported benefit of 18%. I will now provide fourth quarter guidance with a cautionary statement that this can be impacted by the timing of the asset sales. Also, our DD&A rate will be lower than expected because DD&A will not be recorded on EG and Norway post the contract signings, since these assets will be classified as held for sale. The lower DD&A will improve results and therefore also impact our tax rate significantly since Norway has a high statutory tax rate. For the fourth quarter of 2017, E&P cash costs excluding Libya are projected to be in the range of $13.50 to $14.50 per barrel of oil equivalent and full-year 2017 cash cost guidance remains unchanged at $14 to $15 per barrel. DD&A per barrel excluding Libya is forecast to be in the range of $22.50 to $23.50 per barrel in the fourth quarter of 2017, and $24.50 to $25.50 per barrel for the full year, which is unchanged from previous guidance. As a result, total E&P unit operating costs are projected to be in the range of $36 to $38 per barrel in the fourth quarter and $38.50 to $40.50 per barrel for the full year. Exploration expenses excluding dry hole costs are expected to be in the range of $75 million to $85 million in the fourth quarter with full-year guidance of $225 million to $235 million, which is down from the previous guidance of $250 million to $270 million. The Midstream tariff is projected to be in the range of $135 million to $145 million for the fourth quarter and $535 million to $545 million for the full year, which is updated from previous full-year guidance of $520 million to $535 million. The E&P effective tax rate excluding Libya is expected to be an expense in the range of 16% to 20% for the fourth quarter. For the full year, we now expect a benefit in the range of 5% to 9%, which is down from previous guidance of 11% to 15% due to the asset sales. For Midstream, we anticipate net income attributable to Hess from the Midstream segment to be in the range of $15 million to $20 million in the fourth quarter and $70 million to $75 million for the full year, which is updated from previous full-year guidance of $65 million to $75 million. Turning to Corporate, we expect corporate expenses to be in the range of $30 million to $35 million for the fourth quarter and full-year guidance of $130 million to $135 million, down from previous guidance of $135 million to $145 million. We anticipate interest expenses to be in the range of $70 million to $75 million for the fourth quarter and $300 million to $305 million for the full year, which is updated from previous full-year guidance of $295 million to $305 million. This concludes my remarks. We would be happy to answer any questions. I will now turn the call over to the operator.
Operator: Your first question comes from the line of Guy Baber of Simmons. Your line is open.
Guy Baber - Simmons & Company: Thank you, guys, very much for taking the call. I wanted to explore some of the implications here of your strategic investments that you've announced, but production at EG was obviously declining rapidly and neither EG nor Valhall were competing for capital. So my question is, can you just discuss how the monetization of those higher costs assets, which are more capital intensive to grow or even just to keep flat? I mean, to what degree do you think those divestments improve the medium term to longer term F&D costs that you think your company is capable of delivering on a sustainable basis? If you could just help us quantify that or give some thoughts on how you think about that, I think that would be helpful.
John P. Rielly - Hess Corp.: Sure. This will clearly improve our F&D costs as we move forward. I mean, part of our strategy of divesting these high-cost assets is to free up capital, accelerate value and be able to put that capital into our high return Guyana and Bakken assets. So if you look at Guyana, I mean, right now, if you just take phase one, that's a $7 F&D. If you just look at the gross costs there associated with Liza and the reserves that we're going to get, it's a $7 F&D. Take our Bakken numbers. Again, under $10 F&D. So we'll have a substantial improvement and that is, again, part of the key of this portfolio strategy moves are to get this capital to invest in these great return assets. The other thing, the other aspect of it, as you said, Norway was not generating much cash flow from us at all. We have significant abandonment expenditures. Actually Norway was only going to provide us $20 million of net cash flow in the quarter. I mean, sorry, for 2017. EG, like you said, was in decline. So there was $170 million of net cash flow in 2017, but we weren't investing because it didn't compete for capital. So the way we look at this, from a net cash flow standpoint, the proceeds that we got, we received a 14 times multiple on that net cash flow. So again that – and also that net cash flow on Norway was not going to improve here through 2020. EG was going to decline, so that wasn't going to be generating much free cash flow for us in our portfolio. As John mentioned too with the high costs of all these assets coming out of the portfolio and our cost reduction program, we can really start driving down our break-evens on F&D and our portfolio cash costs will be driven down under $10. So, again we just think just great strategic moves for us and our portfolio.
John B. Hess - Hess Corp.: And I also have to say, you know, I think our asset sales programs exceeded expectations with really high outcomes for the Norway, EG and Permian and we exceeded expectations, I'd say both in terms of proceeds and timing on a NAV basis. So we're very pleased with those outcomes and we brought a lot of value forward for assets that were high cost that really weren't generating much cash.
Guy Baber - Simmons & Company: That's very helpful. Thank you. And then, I had just one other kind of strategic question here. But can you elaborate just in a bit more detail on the statement that you all made that M&A is not really something you're looking at here, given the strength of the returns you see in your portfolio? I mean I'm sure you all are looking at what's available in the market around your core areas of focus. So just curious if this is a statement reflecting that you just don't believe M&A is necessary strategically in your portfolio right now or if there's just no way from what you see, that what you see in an M&A environment can compete on a returns basis where it's just using your capital and investing organically in the portfolio as it stands.
John B. Hess - Hess Corp.: Right. We're all about focusing our portfolio on returns. And one of the reasons John said that about, you know, we certainly don't intend to pursue any M&A activity is because of returns and that our reshaped portfolio provides us with superior returns, investing in what we have obviously led by Guyana and the Bakken compared to any other outside opportunities. We're always looking to optimize the portfolio. We said that we would sell the higher-cost, lower-return assets to basically pre-fund Guyana. I think as I said before, we should celebrate the outstanding results we had because basically that cash allows us to pre-fund Guyana which is extremely high return. So it's all about returns. It's all about capital discipline. It's not about volume. It's about value and we're building a portfolio that I think will be very resilient in a low price environment, but have world class cash cost per barrel that really will position us for a decade plus of outstanding returns and cash generation.
Guy Baber - Simmons & Company: Okay, that's great. I will leave it there. Thank you.
Operator: Thank you. Our next question is from Brian Singer of Goldman Sachs. Your line is open.
Brian Singer - Goldman Sachs & Co. LLC: Thank you. Good morning.
John B. Hess - Hess Corp.: Morning, Brian.
Brian Singer - Goldman Sachs & Co. LLC: I think you're pretty clear in that last response on not wanting to pursue M&A with the improved balance sheet. Can you comment on if there's any change to a dividend policy given in part, some of the reduction in free cash flow from the assets being sold, and also the comment that you made on wanting to maintain strong liquidity while awaiting clarity on spending needs for phase two in Guyana?
John B. Hess - Hess Corp.: Yeah. Obviously, we're very aware of the importance of cash returns to shareholders given the much stronger position we're going to have in terms of cash and liquidity. We just need some more visibility into Exxon's plans for phase two and phase three of the Liza development, which we should have in the next month or so. But until we have this clarity, and you talked about dividends, but whether it's dividend or share buyback, we initially – and which is really cash returns to shareholders, we initially plan to maintain a strong liquidity position. But we will clearly consider improving cash returns to shareholders as appropriate once we have that visibility.
Brian Singer - Goldman Sachs & Co. LLC: And that means no reduction in the dividend would be being considered, just to be clear on that as well.
John B. Hess - Hess Corp.: Correct.
Brian Singer - Goldman Sachs & Co. LLC: Great, thanks. And then my follow-up is on the Bakken. You mentioned the additional completion crew, which seems to, I think as you said, be temporary given some of the delays that you've had. Wondered if there's any change to strategy from an investment perspective in drilling beyond the temporary point in the fourth quarter in part considering the improved balance sheet and narrowing of focus too towards the Bakken and Guyana?
Gregory P. Hill - Hess Corp.: No. I think as we mentioned it in our opening remarks, we are giving consideration to increasing the rig count in the Bakken in 2018 to six rigs. We have not made that decision, but it certainly it'll be part of our calculus as we do the budget this year.
Brian Singer - Goldman Sachs & Co. LLC: And that is a function of your outlook on oil prices or the narrowed focus, not that it maybe matters, but would you put that in the this-would-have-happened-anyway camp or as a result of the asset sales?
Gregory P. Hill - Hess Corp.: Yeah. No, it's I mean it's primarily return's driven. We've just got such an outstanding inventory in the Bakken of wells that deliver outstanding returns all the way down to $40 and $50, so we want to get after that, that business in 2018. Again, have not made the decision yet, but we're giving it strong consideration.
Brian Singer - Goldman Sachs & Co. LLC: Great. Thank you very much.
Operator: Thank you. Our next question's from our Arun Jayaram of JPMorgan. Your line is open.
Arun Jayaram - JPMorgan Securities LLC: Yeah Greg, I had a couple questions on the Bakken. I wanted to see if you could comment how your testing of higher Bakken proppant concentrations are going. I think you're shifting to 140,000 pounds per stage. And also if you could kind of discuss the uptick in completion costs from $1.8 million to $3.1 million sequentially in 3Q.
Gregory P. Hill - Hess Corp.: Yeah. You bet. So, as I mentioned in my opening remarks, our average well costs in the quarter were $5.8 million and about three quarters of the wells were these high proppant loading wells, 140,000 pounds per stage and those averaged about $6 million in the quarter. We fully expect those costs to come down as we apply lean manufacturing to the new completion design. The results of the 60-stage wells, again as I said in my remarks, are encouraging. They're early in their type curves. But again, the EURs are anticipated to be over 1 million barrels per well in 2017. The actual uplift for modeling and predictive analytics is estimating a 10% to 15% uplift in IP90 rates and we're actually seeing that in the field. So, so far, things are matching the models. I do want to get more type curve performance, but in January of 2018, we'll be able to give new guidance on what is our standard completion design? What IP90s can we expect? What well costs can we expect? And what EURs can we expect? But so far, very encouraging and value accretive moving to the 60 stages and the 140,000 pounds per stage.
John P. Rielly - Hess Corp.: And can I – I just also want to clarify one thing on your question, because again we're seeing all positives. But the way – when you asked the question you said the increase in costs from second quarter to third quarter. If you're looking at our supplement, make sure you look at the footnote down there. We have apples and oranges between the second and third quarter. If we had broken out in the second quarter the 60, 140,000 wells and the 50, 70,000 there was no increase actually in cost from the same type of wells being drilled. The thing was we were just doing pilots here in the first and second quarter, so we were only putting the 50-stage fracs with the 70,000 pounds proppant there. And so now in the third quarter, since we've moved basically to the 60, 140,000s, we're just including all the wells there. So I just wanted to clarify that there's no real increase in our well cost.
Arun Jayaram - JPMorgan Securities LLC: That's very helpful. And just Greg, the oil mix was a little bit lighter numbers in 3Q in the Bakken. Was that impacted by weather or anything?
Gregory P. Hill - Hess Corp.: Let me talk about this mix issue, because we always get the question. The first thing is there's no change in product mix at the wellhead. So overall GORs have remained flat at about 1550 standard cubic feet per barrel of oil and we expect, you know, our oil mix to stay in this kind of low-60% range for long time. Now the decrease in Q3 reflects two things. First is lower oil production due to the weather, because we had lower field availability overall and lots of road closures and then that was coupled with a 20% increase in previously flared wells being connected to our gas gathering system. So you had lower oil volumes due to weather, plus you had a significant uptick in the number of previously flared wells being added to that midstream business that we have. So that's what's causing the mix change quarter-to-quarter. Now, as I said we expect to remain in the low-60s, lower 60s, for the foreseeable future. Oil, however, is expected to grow at 10% a year with four rigs, but we will continue to hook up more previously flared gas to generate more profit in our Midstream business. So, there will be these quarter-to-quarter fluctuations depending on all those various well hook ups.
Arun Jayaram - JPMorgan Securities LLC: That's helpful. And just Greg, could you give us an update on Stampede? Looks like it's running early and could come online in the first quarter. Could you just give us a sense of how you expect the production profile to trend at that project?
Gregory P. Hill - Hess Corp.: Yeah, thanks. So, first of all thanks. I mean Stampede is about six months ahead of schedule and it's running well below budget, particularly on the drilling side. On the drilling side we're 15% to 20% below AFE on the drilling side, so that's going extremely well. I think what the industry has learned in the Gulf of Mexico is that you need to ramp these wells up slowly and carefully. So we don't expect to reach our peak in Stampede until 2019. Our current development scope has six producers and four water injectors and those will be ramped up slowly over 2018.
Arun Jayaram - JPMorgan Securities LLC: Thanks a lot.
Gregory P. Hill - Hess Corp.: Yeah.
Operator: Thank you. Our next question is from Doug Leggate of Bank of America. Your line is open.
Doug Leggate - Bank of America Merrill Lynch: Thanks. Good morning, everybody.
John B. Hess - Hess Corp.: Morning.
Doug Leggate - Bank of America Merrill Lynch: If I may, I'm going to put one for all three of you if you don't mind John. John Hess, I'll start with you if I may. So, John you've made a lot of steps obviously in the last couple of days and you've seen what's happened to your stock. The market clearly has some concerns about something. If you really believe in the value of what you're doing in terms of Guyana, I know you've talked about it already, but to pull everything together cash in the balance sheet, hedge protection, the dividend burden and the pending sales next year likely including Guyana I'm guessing, why wouldn't you send the more obvious signal to the market on the buybacks? Because your stock's suffering, the steps aren't being recognized and the best M&A you can do in the market right now is your own share. So can you address that and maybe give some thoughts as to the scale of what you might consider? Because I think at this point the market needs some kind of a message from you, John?
John B. Hess - Hess Corp.: Thanks, Doug. Obviously, I think the first point is, we just completed these asset sales yesterday with outstanding results. And I think we brought a lot of value forward, certainly exceeded on an NAV basis most of the third-party estimates, and certainly exceeded expectation in terms of both proceeds and timing, so this just happened yesterday. That's number one. Number – and really what that does, as you point out in a $50 forever world and whatever one's views of oil prices are, you want to be financially prudent here, we basically brought forward these values and bolstered the cash on the balance sheet that we can pre-fund Guyana. And that's a big deal, because Guyana is great return. People often talk about living within your means. Well, by bringing the cash forward we are living within our means, meaning that we can pre-fund this world-class investment opportunity. Having said that, now that we have completed the sales, we can deliberate and bring clarity to the very question you're asking. And the importance of cash returns to shareholders given the strength of our cash and current liquidity position obviously gives us an opportunity to consider bolstering cash returns to shareholders as appropriate. We are going to do that. We want a little more visibility into Exxon's plans for phase two and three of the Liza development in Guyana. But once we have that clarity, I can assure you, we are going to clearly consider improving the cash returns to our shareholders as appropriate because you're right; our stock is a great investment.
Doug Leggate - Bank of America Merrill Lynch: All right. I'll maybe move on to number two if I may. And this is just very quickly on CapEx, on the last call John, John Rielly I guess, you indicated that the CapEx in 2018 would be similar to 2017 at $2.1 billion. With all these moves, can you give an early look at directionally how that CapEx profile should move next year?
John P. Rielly - Hess Corp.: At this point, I'd still – I'd stick with that guidance and here's what the difference is from that last quarter is. So we do have the asset sales. So Norway, you're in that $120 million to $130 million of capital this year that will not be there next year. EG was very low. Now, as Greg mentioned, we are considering adding two more rigs in the Bakken during 2018. So you do have that type of offset. So, we're still looking at being flat, but we're going to be going through our normal budget and plan process and we'll be updating that with our fourth quarter numbers.
Doug Leggate - Bank of America Merrill Lynch: Okay. My last one if I may then is for Greg. So Greg, on the production guidance, at the start of this year, the fourth quarter guidance, 330,000 to 340,000 [barrels of oil equivalent per day]. Can you walk through in a little bit more detail perhaps on what that momentum you talked about going into the first quarter looks like? Because even adjusting for a month of Equatorial Guinea and I guess a full quarter of Norway, it still seems that the guide is a bit light. So could you help us understand or reconcile, what the differences are and what you would expect going into Q1? I'll leave it there. Thanks.
Gregory P. Hill - Hess Corp.: Doug, let me split your question into two. The first one is just fourth quarter guidance compared to our third quarter actual production, which I think was part of your question. So as I mentioned in my opening remarks, the asset sales will be 14,000 to 15,000 barrels a day negative depending on timing. We talked about the knock-on effects in the Gulf of Mexico, particularly as it's associated to Penn State-6, and then the unplanned maintenance downtime from the Shell operated facility on Enchilada that affects Conger. The combination of those two things is about 8,000 barrels a day. And then you get the reversal of that temporary NEI adjustment in JDA, which is another 8,000. Now all that's offset though by North Malay Basin coming up to full field ramp up and then also the Bakken. So that's why we guided this 290,000 to 300,000 [barrels of oil equivalent per day] in the fourth quarter relative to the 299,000 [barrels of oil equivalent per day] that we experienced in the third quarter. In regards to your momentum question, I mean if you think about it, year-to-date we've only been op – our average rig count in the Bakken is three. That'll be fully four rigs as we go into 2018. And as John Rielly mentioned, that could be six rigs in 2018. That's one piece. We have Stampede coming on stream in early 2018 now, in the first quarter. So, that'll be another strong production momentum. And the final thing is you'll have North Malay Basin fully at plateau. So, those three pieces are really what are going to provide the strong production momentum as we go into 2018.
Doug Leggate - Bank of America Merrill Lynch: All right. I'll walk through the moving parts with you, but appreciate the time guys. Thanks.
Gregory P. Hill - Hess Corp.: Yeah. You bet.
Operator: Thank you. Our next question is from Roger Read of Wells Fargo. Your line is open.
Roger D. Read - Wells Fargo Securities LLC: Yeah. Thanks. Good morning.
John B. Hess - Hess Corp.: Good morning.
Roger D. Read - Wells Fargo Securities LLC: I guess, can we talk a little bit about, from a micro standpoint, price realization in the Bakken? Came in a little bit lighter than would've thought, whether hedged or not hedged. DAPL opening up, would have expected a little bit better. Just curious maybe what some of the moving parts were there.
John P. Rielly - Hess Corp.: So in the third quarter when you compare the third quarter to second quarter, actually even with DAPL, the Clearbrook was essentially unchanged, the second quarter to third quarter. And now, a good majority of our production doesn't go to Clearbrook. Just like all other operators, you have to get it out of the basin. So with Clearbrook essentially unchanged, and you're moving your product outside of North Dakota, you just have some additional cost comparatively between the second and third quarter even with DAPL starting up. So that's where that is in the third quarter. Now right at the end of the third quarter going into the fourth quarter, Clearbrook has clearly improved. So, those values from Clearbrook would show up more in the fourth quarter.
John B. Hess - Hess Corp.: Yeah, and we're also taking advantage of the export market. Year-to-date we've had three exports. In fact I think we were one of the first companies if not the first company to export Bakken crude a year ago. So we actually have had four exports over the last 12 months or so. So, we basically optimize all of our marketing outlets to maximize value and over time that's created relative superior value at the wellhead versus any of our competitors in the Bakken.
Roger D. Read - Wells Fargo Securities LLC: No, I appreciate that. I was just curious if it was anything other than market conditions, but it's sounds like that's all it is. And then sort of a broader question, as you've gone through the asset sale process, and clearly the goal here to get overall operating costs, whether cash or non-cash down. You've done some of these asset sales and we've seen both gains and losses as you've adjusted to what the underlying asset values were. And I was just curious if you step back and look at the overall portfolio here going forward, are there any more sort of asset write downs that will affect depreciation in the future? I know this is an annual test type thing and, you know, prices at the end of the year. But I was just curious if that's any component of future lower DD&A or if we should think about it solely as the new projects coming in or simply you know, better than what's going out the door?
John P. Rielly - Hess Corp.: Well, first you should start with that, that the new projects or the projects like Bakken and Guyana, they're going to have better returns than the assets that we're divesting. So clearly, that's going to drive improvements in cash costs and DD&A and F&D, everything as we spoke about before. As far as just accounting, we go through and it goes on a quarterly basis. You evaluate what prices are. We'll be going through our budget and plan with the board and setting price (00:55:57) in the fourth quarter and we'll look at all assets at that point in time on where prices are, and then you go through your normal impairment reviews at that point in time. But that will happen on a quarterly basis.
Roger D. Read - Wells Fargo Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question is from Evan Calio of Morgan Stanley. Your line is open.
Evan Calio - Morgan Stanley & Co. LLC: Yeah, good morning guys.
John B. Hess - Hess Corp.: Good morning.
Evan Calio - Morgan Stanley & Co. LLC: Yeah. Maybe another follow-up on the cash balance question for John. Yeah, really reading between the lines of your comments, you mentioned you'll have a better idea on Guyana phase two and phase three timing in the next few months, that you could consider potential buyback at that time. Yet, I guess my question is on the spending side. What is the earliest you could be spending on Guyana phase two and phase three post FID type spending? Meaning, is there a reasonable scenario where you will need the cash from asset sales to support or to bridge to the post Liza startup period?
Gregory P. Hill - Hess Corp.: Hey, Evan, this is Greg. So again Exxon's still working on it. We are in early phases of feed on phase two, but we just can't be specific yet on the exact timing of when phase two and phase three could come about. I mean, clearly with 2.25 billion to 2.75 billion barrels of recoverable, you're going to need more than just phase one to get at that. But timing on both of those, I don't want to comment on because Exxon's still in various phases of planning that. We should have clarity on that, as John mentioned, as we go through the budget process by year end.
Evan Calio - Morgan Stanley & Co. LLC: And that's clarity through I've got a 2020 timeframe then?
Gregory P. Hill - Hess Corp.: Yes.
Evan Calio - Morgan Stanley & Co. LLC: Let me ask a different question. I know you guys have been successful and very active in high grading the portfolio. Again, an asset that you didn't discuss, I mean, can you discuss the attributes that make Malaysia core to remain in the portfolio given that would likely be an accretive sale of pursuit? Can you talk about how that fits?
John P. Rielly - Hess Corp.: Yes. So I mean, just now when you look at our portfolio now and as we get through to 2020 with Guyana, we want to be in a situation right that we set ourselves up in this portfolio that we've got a low-cost, cash-generative portfolio and have the ability through these asset sales to bring cash forward to pre-fund effectively Guyana. What Malaysia now provides us, and I'm saying now is because we were developing North Malay Basin. North Malay Basin now is coming on. It's ramping up to its full production capacity. Putting North Malay Basin and JDA together, I guess the best way I'd describe this as a nice long-term infrastructure asset that provides this cash brick. Just cash flows year-in, year-out in your portfolio and it's both the JDA and North Malay Basin. Obviously their PSCs, prices go down, you get coverage as prices go down. So it's a great part, that this Malaysia asset is just really key for us to drive our cash flow to help fund our assets. Now, go forward, you never know long-term what happens, but Malaysia is right now a key core asset for us to generate cash flow and drive us through to 2020 as Guyana comes on.
John B. Hess - Hess Corp.: Yeah, and another way to bring perspective to it from a strategic viewpoint, is the cornerstone or core of our portfolio is going to be Guyana and Bakken which are low-cost, high-return growth assets and the deepwater Gulf of Mexico and Malaysia, which are low-cost cash-generating assets. The focus in the portfolio is much sharper. It's the areas that are low cost and basically we are redeploying the capital from the high cost mature assets into the low cost high return assets. And at the same time, simplifying and focusing the portfolio which we think will bring forward a lot of value for our shareholders.
Evan Calio - Morgan Stanley & Co. LLC: That's great. Maybe one more if I could, just on the Bakken more minor. Can you talk about what drove the sequential declines in the 90-day cumes there? I know, it appears that most of the program is well within the McKenzie area. Just trying to understand that variance.
Gregory P. Hill - Hess Corp.: Yeah, thanks for that, Evan. I figured that would come up. So you know in the third quarter the IP90s averaged 840 barrels of oil per day, which is fully in line with our guidance of 800 to 850 [barrels of oil per day]. Now in the second quarter, we had IP90s that were in over 1,000 [barrels of oil per day]. So what's driving that? Really simple. It's where the rigs were located. So those IP90s in the second quarter were reflecting eight wells in the core of the core of the Keene area, which is the absolute best area in the field. I think, you know, if you step back though, you know, as John mentioned in some of his remarks, our IP90s have averaged 890 barrels of oil per day over the first three quarters of 2017 versus 580 barrels a day over those same three quarters in 2016. So that's an improvement of about 50%, you know, just comparing year-on-year in IP90. So the trend is outstanding. And again, that's from these higher stage counts, and then as we move into higher proppant loading as well. So the quarterly fluctuation is purely a function of well mix. And as we added rigs 3 and 4 in the Bakken, we had to spread those rigs out because operationally you had (01:02:05) issues, infrastructure that you're trying to balance. So you moved outside of that, you know fantastic core of the core rock in Keene. You had to put rigs in other areas of the field. But again, just look at the overall average; very substantial improvement in IP90s.
Evan Calio - Morgan Stanley & Co. LLC: I presume that will be supported.
Gregory P. Hill - Hess Corp.: But that will fluctuate. Yeah, there will be fluctuation quarter-to-quarter just based on well mix.
Evan Calio - Morgan Stanley & Co. LLC: And 5 and 6 will add to that, I presume.
Gregory P. Hill - Hess Corp.: It will. I mean, in terms of operational flexibility, you'll have to move into other areas of the field if you have 6 rigs versus 4 and we'll give guidance on that if we make the decision to go to 6.
Evan Calio - Morgan Stanley & Co. LLC: Yeah.
Gregory P. Hill - Hess Corp.: Yeah. And we'll give guidance on that in January just like we always do, yeah.
Evan Calio - Morgan Stanley & Co. LLC: Appreciate it guys. Thank you very much.
Gregory P. Hill - Hess Corp.: Yeah.
Operator: Thank you. And next question's from Pavel Molchanov of Raymond James. Your line is open.
Unknown Speaker: Thanks for taking the call. This is Muhammad (01:03:06) on behalf of Pavel. So the two recent asset divestitures that you guys announced in EG and Norway, those are both pretty high-tax countries. How do you expect the closing of those divestitures to affect your income tax rate?
John P. Rielly - Hess Corp.: Sure. So I gave on – when I gave the pro forma numbers, you saw the benefit that we were recording was – our actual was 18% in the third quarter and on a pro forma basis, that goes down to 2%. So it all depends that – what that means is as you can tell, those assets had losses and were generating losses in the portfolio. And so, we'll have less losses and you won't be benefiting, just like you said, at those higher tax rates.
Unknown Speaker: Okay. Yeah. Sorry, I must have missed that. Thanks. One other question for me. So last month, the International Tribunal of the Law of the Sea decided in favor of Ghana in their maritime dispute with the Ivory Coast. How do you guys expect to proceed with your, I guess, acreage in that region or in the offshore of that country. Are you guys planning to continue drilling or monetize that acreage?
John B. Hess - Hess Corp.: Now that there's clarity on the border dispute, we can proceed with the best way to optimize the value of the asset.
Unknown Speaker: So, no more details other than that.
John B. Hess - Hess Corp.: Correct.
Unknown Speaker: Okay. Thank you. That's all for me.
Operator: Thank you. Our next question is from Paul Sankey of Wolfe Research. Your line is open.
Paul Sankey - Wolfe Research LLC: Hi. Good morning, everyone. There's tremendous interest in the market, particularly on the buy side for return on capital employed improvements and I was hoping that you could walk me through the path to a better return on capital employed for Hess, perhaps over the next five years. I think we all understand that you're out spending for Guyana. It seems that with the hedging you've announced, you're kind of planning on $50 or sort of locking into $50 certainly for next year. Sounds like it'll be flat CapEx. So, with the cash on the balance sheet, I can get there on the cash side of the story. The problem I think has been that the shareholder equity keep shrinking and we're seeing net income losses. And I guess the easy thing might be, John Rielly, for us to talk about DD&A reductions given what you've said about marginal barrels being so much higher return than trailing barrels. But any help you can give me on that would be great. Thank you.
John P. Rielly - Hess Corp.: Sure. I mean obviously I think we've said it over and over. The whole goal of our strategy here in these portfolio moves are to improve the returns on invested capital. So that's what we're focused on. So now by selling those high cost assets and just from that prior question, as you know, those assets, just from, as I told you on a pro forma tax rate, were generating losses in the portfolio, and you're right. We are doing all this and planning for, can you call it a low price or an extended $50 oil price environment, and we believe we set ourselves up to win in this $50 environment because one, now we have the cash to be able to fund Guyana just like you said. And then the assets that we will be investing in which are Guyana and we've gone through the returns there, and I know we've gone through this, we have it in our investor deck of how Guyana can compete and actually do better than even some Permian, Delaware type assets in a low price environment. So, that will improve our returns. And like we said earlier, Liza has a $7 F&D, so that will drive down DD&A. The Bakken as well will continue with the investments that we have at four rigs and as you know, we're evaluating going to six rigs. The reason we're evaluating going to six rigs is because of the tremendous returns that we see in our portfolio there and we have plenty of well locations that work at sub $50. So that will also, a low F&D and improved returns in both Bakken and Guyana are going to be at a cash cost lower than our current portfolio average. So the returns that we generate there are going to improve and the point and the goal and I guess the way you can measure it is, as we say post Guyana in a $50 world, when that comes up, it's all these investments will be generating free cash flow post the Guyana production starting up. And then as you will start to see that, we'll generate, post the Guyana production again, net income will continue to increase along with that cash flow. So it is all about trying to shift and reallocate the capital in our portfolio to the highest returns and we believe these Bakken and Guyana investments will really drive that improvement in return on capital employed.
Paul Sankey - Wolfe Research LLC: To be specific, yeah, thank you, I understand that.
John P. Rielly - Hess Corp.: Sure.
Paul Sankey - Wolfe Research LLC: Could you be specific on the dynamic of the DD&A coming down though? Do we have to wait several years for this to happen or how can we forecast for DD&A to start getting that net income improvement that we want?
John P. Rielly - Hess Corp.: Okay. So I mean, you heard at least from a pro forma standpoint, we're dropping in the third quarter. It went over $1. So that's one thing just starting there.
Paul Sankey - Wolfe Research LLC: Yeah.
John P. Rielly - Hess Corp.: When these assets come out of the portfolio, you're going to get that. Every time we bring on a new barrel in the Bakken, with this F&D, that's driving down our DD&A rate. And then Guyana, now the big change there with the F&D there, that won't happen until 2020. So it's just going to be a progression as we move through from 2017 to 2020 on driving down that DD&A rate. And like you said on the – we talked about on the cash cost, you can just start from where we are right now at $14 driving it down to under $10 as we go to 2020. So it's just going to be that slow progression on cash costs and DD&A as we move through.
Paul Sankey - Wolfe Research LLC: Understood. So just very finally, could you guide me through DD&A for next year?
John P. Rielly - Hess Corp.: No, I can't exactly at this point, but I can do that on the fourth quarter. With all else being the same, you would use this pro forma number of that I said were $23.72, and then that would come down based on the investments and the growth that we have in the Bakken coming through. So it'll be lower than that number in 2018. And then we'll continue to look at all the assets and on our portfolio mix, it depends on where production is as we go into 2018. And I'll update on our call then.
Paul Sankey - Wolfe Research LLC: Thank you, John.
Operator: Thank you. Our next question's from Jeffrey Campbell of the Tuohy Brothers. Your line is open.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: Good morning and congratulations on the recent asset sales.
John B. Hess - Hess Corp.: Thank you.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: Maybe another way to ask a question that is sort of tangential to some of this discussion we've been having around the portfolio and uses of cash. You said that Guyana will be self-funding once Liza phase one comes online. Or at least I believe that's what you've said. And there's obviously a lot of future development there. Do you have any idea how long you think it'll take to generate free cash flow from Guyana development?
Gregory P. Hill - Hess Corp.: No. It's too early to comment on that because again, it depends on the timing of phases two and three. And we hope to get clarity about that from the operator in ExxonMobil before the end of the year.
John B. Hess - Hess Corp.: Yeah. Just for phase one, as we've said in meetings with investors, just phase one in and of itself, you get your cash back in about three years from first production. So that's infinitely superior to any shale investment you would make that's seven to 10 years, even the best of shale. So the cash-on-cash returns in Guyana are much superior to anything you can get in shale. It's not to disparate shale. Shale's a different investment profile, but Guyana is truly superior to almost any other investment you can make in the E&P space in the world. So we can talk intelligently about phase one because we've authorized it. We just have to wait for the phasing a phase two and phase three to give you the macro picture on Guyana itself for Hess.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: No, I appreciate that and I think kind of where I was trying to go is that before people get so comfortable with selling assets that are obviously generating free cash now, one should step back and think about when free cash is going to emerge from Guyana. If I could ask one other Guyana question real quick, does the success of Turbot influence your confidence in impending Suriname exploration in any way? And can you remind us what's coming up for exploration there?
Gregory P. Hill - Hess Corp.: Yeah. So Block 42 in Suriname as you mentioned, we see that as being part of the same play fairway as Liza. We're currently interpreting in 3D seismic there and evaluating to drill a well in 2018. So Block 42 looks great and of course we also, as you know, entered Block 59 along with ExxonMobil and Statoil; that's a third, a third, a third equity each. That's a very big block. That's 500 Gulf of Mexico blocks. We also see it as part of the same play fairway as Liza and the co-ventures now we're just beginning to plan seismic program. So 42, likely a well in 2018; 59, too early to comment on when we might be drilling there because we got to get the seismic done first.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: Okay. Thanks. I appreciate the color.
Gregory P. Hill - Hess Corp.: Yeah.
Operator: Thank you. Our next question's from Ryan Todd of Deutsche Bank. Your line is open.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thanks. Maybe just one first question on some of the guidance you provided with the asset sales on a move towards a $10 a barrel OpEx target and $150 million in cost savings by the end of this decade. Are there any efficiencies built into the assumption or is it just the result of rolling off higher cost barrels and overhead, or could we see upside to those numbers from additional efficiencies? And maybe what level of activity in the Bakken is embedded in those numbers?
John P. Rielly - Hess Corp.: So what we have in those numbers to get down to the $10 is, I'm not assuming any efficiencies per se in there. So, I mean, again our teams have been really good on continuing to drive down our cash costs across our portfolio. So there are potential upside to those numbers. So you do have the higher-cost barrels that will be coming out and then you have the $150 million of cost savings which I did not factor into those numbers there. Then, what helps to drive is kind of the – going back to what Greg was talking about on the pro forma production momentum. So you have North Malay Basin which is coming in at the full rate starting in 2018. That is one of the lowest cash cost assets we have in the portfolio. Stampede coming on. Gulf of Mexico assets very low cost, so that will continue to drive down the cash costs and then you have the Bakken. So activity levels that we talked about in here, we've got four rigs in there. We know we're considering going to six. We have the four rigs and the additional production, as you can talk about our oil production growth of 10% per year. With that our low cash costs will also drive down the cost. And then obviously when Guyana comes on you get the final piece to drive it down. So, yeah, no, we're not assuming any heroic efficiencies or anything in there. It's the quality of our assets and the investments in these high-return assets along with the start-up of our developments that will drive these costs down to $10 and below.
Ryan Todd - Deutsche Bank Securities, Inc.: Great, thanks. And then maybe in light of all that talk about portfolio activity, any comment on how the Utica fits into this in terms of longer term plans and ability to attract capital within the portfolio?
Gregory P. Hill - Hess Corp.: Yeah. I think the Utica as you know, the only challenge with the Utica right now is just that the netbacks, because it's infrastructure constrained. We see those infrastructure constraints opening up in 2018/2019. I always have to remind people it's a good position in the Utica. It's in the heart of liquids window. It only has 5% royalty. It just needs some help on price. It offers good growth. Currently, it doesn't and it currently it does not compete with the Bakken obviously. So, it's going to be a function of price as to what we do with Utica. But it's got good returns at a reasonable gas price, so.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thank you.
Operator: Thank you. Our next question's from Paul Cheng of Barclays. Your line is open.
Paul Cheng - Barclays Capital, Inc.: Hey, guys, and good morning.
John B. Hess - Hess Corp.: Hey, Paul.
Paul Cheng - Barclays Capital, Inc.: Greg, on Turbot, I assume it will be a individual development, not a tie back. From that standpoint then, what is the minimum resource size in order for that to be economic at $50 Brent?
Gregory P. Hill - Hess Corp.: Yeah. Paul, obviously it's – we're very excited by the discovery as we mentioned in our opening remarks, because it opens up a new province or area in the southeastern part of the block. It's too early to kind of speculate on how much volume it's going to take, et cetera. It's got its own sort of unique attributes, but it's very encouraging and very exciting. We will want to get an appraisal well in it sometime in 2018. Once we have that appraisal well, we'll have a better idea of go-forward development plans for that, I'll call it the greater Turbot area.
Paul Cheng - Barclays Capital, Inc.: And the Turbot at 75 feet is there a continuous column or there is several different columns?
Gregory P. Hill - Hess Corp.: It's broken into just a couple of sand packages, but there's one very large thick package within that column. So that's going to be the big target.
Paul Cheng - Barclays Capital, Inc.: So that when you said very big is it what, 60 feet, 50 feet or up to 75 feet or 40 feet?
Gregory P. Hill - Hess Corp.: No, of this 75 feet I think it's around 60 feet of it.
Paul Cheng - Barclays Capital, Inc.: Okay. And that the next on Bakken, Greg, earlier you mentioned that one of the reason why, or the primary reason why the IP90 changed from the second to third quarter is because of the core of the core well, the conversation changed. Can you tell us that what is the average differences between the core of the core well and the rest of your portfolio?
Gregory P. Hill - Hess Corp.: Well, I think again Paul, you have to look at kind of what our guidance is for the year. So 800 to 850 [barrels of oil per day] is what we guided for the IP90s for the year. And again in Q2, the core of the core, which was the Keene area, and it was only eight wells, the IP90s coming in there were around over 1,000 [barrels of oil per day]. So I would just say, look at the average. The 800 to 850 [barrels of oil per day] is a good reflection of the average at the core that we're drilling this year.
Paul Cheng - Barclays Capital, Inc.: Right. And...
Gregory P. Hill - Hess Corp.: But within that, there's some very outstanding wells obviously.
Paul Cheng - Barclays Capital, Inc.: Right, because it seems like Keene is maybe is more like in the 1,300 to 1,500 [barrels of oil per day], I would assume.
Gregory P. Hill - Hess Corp.: No, because in Q2, the IP90 results that were reflected there were only eight wells in Keene. Right?
Paul Cheng - Barclays Capital, Inc.: So it will be even higher than that.
Gregory P. Hill - Hess Corp.: Yeah.
Paul Cheng - Barclays Capital, Inc.: And all the...
Gregory P. Hill - Hess Corp.: No, those were – so Paul, just let me clarify that. So in Q2, we quoted over 1,000 IPs. Again, that's eight wells right in the heart of the Keene. So that is the average of eight wells and they were all about the same. So they were all around that 1,000 to 1,100 oil IP90.
Paul Cheng - Barclays Capital, Inc.: Okay. Very good. And on the 2,800 additional drilling location that you have in Bakken roughly, how many of them are in the, what you call the core of the core?
Gregory P. Hill - Hess Corp.: Well, I think a better way to think about that is, which we've done in our investor conferences, there's a slide in our pack, is if you look at the inventory, now, I'm going to describe this as 50-stage, 70,000 pounds because it hasn't been updated for 60-stage, and 140,000 pounds, so these numbers will change. They'll get better. But certainly at 70,000 pounds, we have about 1,500 wells of the 3,000 wells that generate an after-tax return of 15% or higher at $50 Brent. Or $50 WTI, sorry. So that gives you an idea that at least half of the 3,000 wells generate a very high return at these kind of prices. So that gives you a sense, right?
Paul Cheng - Barclays Capital, Inc.: Okay.
Gregory P. Hill - Hess Corp.: For how much is there.
Paul Cheng - Barclays Capital, Inc.: All right. And then the final one is for John Rielly. John, on the $150 million restructuring, can you give us some additional – elaborate a little bit more in terms of some detail on number of head you're going to cut the area that where that they're going to come from the functionality, that kind of things?
John P. Rielly - Hess Corp.: So it will be across the board. I mean, I think, you will see the majority from an income statement line item will be in the G&A line item. But we will have some that will be – some of our reduction will be in our operating costs as well. And just so – like we will be finishing all our work on that and our organization redesigning in 2018 and we will have transition costs in 2018 that offset some of these savings. So it's really, from 2019 on is where you'll see this $150 million cost savings kind of flowing through our numbers.
Paul Cheng - Barclays Capital, Inc.: And can you tell us that what is the number of head count that you plan to reduce, and where is the ...
John P. Rielly - Hess Corp.: No, I...
Paul Cheng - Barclays Capital, Inc.: Is it in the corporate headquarter or is going to be in your Houston office, or what kind of function because...
John P. Rielly - Hess Corp.: This will be – it'll be a...
Paul Cheng - Barclays Capital, Inc.: It's a pretty big number.
John P. Rielly - Hess Corp.: Yeah. It's a big number. I mean obviously with Norway, EG and then Denmark being sold, there is a reduction in our portfolio and what we're doing is just rationalizing our fixed cost base that we have here to support our production portfolio. And it's just going to be part of that. We've done high level design on this. The reductions will be across all aspects be it central functions, be it corporate, be it E&P. So we're looking at all of that. And as I said, you'll start to see it in 2018 because we will be enacting it. It's just that we will have transition costs in 2018 and get the full benefit in 2019.
Paul Cheng - Barclays Capital, Inc.: Yeah, because I just scratching my head on E&P given that in (01:23:32) you are not a operator so I would imagine the cost, your back office support cost associated there is not that great or not that high and just for Denmark and EG, since the elimination of those two assets translate into $150 million in reduction in G&A because that seems a very high number.
John P. Rielly - Hess Corp.: So look, we have put it on paper and we feel comfortable, very comfortable with that $150 million. You've got to factor in a lot of ancillary costs. So you've got supply chain activities in every one of those areas. We've got tax activities in every one of those areas. We do have finance support in all of those areas, IT support in all of those areas. So we've looked at all of that. And so, it will be head count, it will be other operational type costs that will be reduced and I will tell you I feel very comfortable about the $150 million by 2019. Again we will incur this transition cost in 2018.
Paul Cheng - Barclays Capital, Inc.: Great. Just a final one. Does that mean that the (01:24:44) from a P&L standpoint show up in your corporate (01:24:50) number or they're showing up in your U.S. E&P earning number?
John P. Rielly - Hess Corp.: The bulk of this was because the support is really for our E&P, so the bulk of it will be in the E&P numbers, being able to reduce our costs within E&P, but there's going to be clearly corporate cost reductions as well.
Paul Cheng - Barclays Capital, Inc.: Okay. Thank you.
Operator: Thank you. Our next question's from Bob Morris of Citi. Your line is open.
Robert Scott Morris - Citigroup Global Markets, Inc.: Thank you. We've gone quite a long time here, so I'll be brief here. But in looking at 2018 even with a flat budget and $50 oil, $3 gas, you'll outspend cash flow and I get the returns in the Bakken and adding perhaps two more rigs. But how do you think about the cash flow outspend in that environment? Is there a limit as to, with the cash on the balance sheet, how much you're willing to outspend cash flow in 2018, or how do you monitor that?
John B. Hess - Hess Corp.: Yeah, I think the key point here is the Bakken itself has to be cash generative. One of the reasons we went to two rigs and then four was to ensure in a low price environment, it would not only grow, but be cash generative. But one of the holdbacks on the Bakken was the corporate cash position. Now that the corporate cash position is better, we can invest in the higher-return low-cost projects, the Bakken really is one of those first calls on capital along with Guyana. And that really underpins sort of the base spend along with some of the investment that we still have to do in Stampede and the JDA even though they're going from cash users to cash generators. So that really speaks for like 90% of the spend that we're going to have next year and I can assure you, we're going to keep it very tight, minimize the outspend, but most of the outspend is being driven by the need to invest in Guyana which again, offers superior returns to almost anything else in the E&P business. So we're very mindful of the corporate position and that's why we're really redeploying the proceeds from the high-cost, lower-return and mature assets to the lower-cost, high-return assets which really positions the company for a much lower unit cost and improved cash generator and return on capital employed for many years to come.
Robert Scott Morris - Citigroup Global Markets, Inc.: Oh, that's great. That makes sense. And then Greg, just quickly here, you mentioned that the average EURs this year for the Bakken are sort of trending to just over 1 MBOE, but that appears to be a mix of the 50, 70,000 and the 60, 140,000 wells and if we break out the data on just the 60, 140,000s, those appear to be trending at something a little bit better than 1.2 MBOE. Is that on target there?
Gregory P. Hill - Hess Corp.: Yeah. I think you're in the range. Again it's early days so I want to see more type curve performance before I'd be definitive, but you're definitely in the range. I just wanted to clarify one thing John said. The spend in Malaysia next year is not JDA; it's actually North Malay as we have to add some more wells to stay at capacity.
John B. Hess - Hess Corp.: Thank you. Yeah. I meant Malaysia overall. Exactly.
Robert Scott Morris - Citigroup Global Markets, Inc.: Yeah. Okay. Great. Thank you.
Operator: Thank you. Our next question's from David Heikkinen of Heikkinen Energy. Your line is open.
David Martin Heikkinen - Heikkinen Energy Advisors, LLC: Thank you guys. You actually got all my questions.
John B. Hess - Hess Corp.: Okay. Thank you.
Gregory P. Hill - Hess Corp.: Thanks, David.
Operator: Thank you. Our next question's from John Herrlin of Société Générale. Your line is open.
John P. Herrlin - Société Générale: Yeah. A couple for Greg and then one for John. Regarding Turbot, Greg, how would you characterize the structure vis-à-vis Payara vis-à-vis Liza, because it's a big step out? Is it a similar kind of structure? Could you describe it a little bit more?
Gregory P. Hill - Hess Corp.: Yeah, it is. I mean it's basically a stratigraphic trap, so it's like the Liza complex, again playing the stratigraphic traps that get trapped in the rim of the bowl as the sediments before they plunge down into the basin. Very similar.
John P. Herrlin - Société Générale: Okay. Regarding inflation, you've locked in some sand purchases earlier this year for this year. Are you going to do that again in 2018, and what are you seeing on the inflation side in terms of cost for infill service?
Gregory P. Hill - Hess Corp.: Yeah. You bet. So, I think again, I think as I said last time, it's really a tale of two cities, right? So, in offshore we see flat to further declining costs, rigs and shipyard construction in particular are experiencing further downward pressure, which is being reflected in the Guyana development. Onshore, industry cost trends are increasing, but you know, as we mentioned, we have taken steps to contain the costs by not only locking in rig and pumping rates, but also pre-purchasing sand and putting in place some longer term contracts on many of those services. So, at least in 2018, those steps that we've made in our lean manufacturing approach, we think we can deliver our 2018 program with minimal inflation. There will be some, but it will likely be single-digit. It won't be massive. Now as we do our budget in 2019, we'll be relooking at all that. The pressure on sand has gone off as more mines have opened up. That was a transitory thing, and that's why we locked in the proppant, and we're still in the money on that deal. So that turned out to be a good deal on the end.
John P. Herrlin - Société Générale: Okay, thanks. My one for John Rielly is the head count. Obviously, you just sold assets, so how much smaller is the Hess workforce going to be ballpark?
John P. Rielly - Hess Corp.: So, at this point, we're not going to provide that number. The cost reduction of $150 million are going to run across the board. There will be head count reductions, there will be vendor cost reductions, just due to the size of the portfolio getting smaller. But it's just premature for me to give those type of numbers.
John P. Herrlin - Société Générale: (01:31:09)
John B. Hess - Hess Corp.: Yeah. We've had over the last two years probably a 30% reduction in head count. And there's more to come. So, people want the sizing. Obviously it's a work in progress. It has to do with a reshaped portfolio, we'll reshape the organization, minimize corporate and then really right size the organization to support the asset portfolio we're going to have. So, we don't want to front run the announcement on that. But at the end of the day, I want you to know, there's been significant reductions already.
John P. Herrlin - Société Générale: Thanks, John.
Operator: Thank you. Our next question's from Ross Payne of Wells Fargo. Your line is open.
Ross Payne - Wells Fargo Securities LLC: How you doing guys? Free cash flow, you're currently producing a decent amount of it and even after asset sales, you'll have a reasonable amount. Is it one way to look at this is, the current free cash flow covers the core CapEx for the company and then the asset sales are funding most of Liza? And second of all, it's $1 billion for phase one of Liza. Can we estimate about the same number for phase two, and maybe another $1 billion for phase three? Thanks.
John P. Rielly - Hess Corp.: So, your estimates are exactly right on the cash flow and that the asset sales are coming into to fund this great opportunity that we have in Guyana. As you said, you have that phase one cost. We don't have any guidance out there. The only thing I will tell you is that the initial phase one FPSO has a capacity of 120,000 barrels per day. It has not been landed what phase two and phase three are, but it could be likely to be at a larger size than that 120,000 [barrels per day]. But outside of that, we haven't had any additional guidance that we're able to give out at this point in time.
Ross Payne - Wells Fargo Securities LLC: Okay. And then on the share repurchase, would you pretty much want to hear what phase two and possibly phase three is going to look like before you step into stock repurchases with the excess cash that it looks like you're going to be bringing in from this plus Denmark?
John B. Hess - Hess Corp.: Yeah. I mean, the thing on phase two and phase three, I would say Exxon's pretty far along on getting that definition. We just want a little more clarity on that. So, it's not that far out in time, when we would be able to get that clarity. And then, while we want to maintain a strong liquidity position to make sure we can prefund Guyana, which is a great investment, once we have that clarity, obviously we will clearly consider cash returns to shareholders as appropriate.
Ross Payne - Wells Fargo Securities LLC: All right. Thanks. That's it for me. Thanks.
Operator: Thank you very much. This concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.